Operator: Good afternoon. My name is John, and I will be your conference operator for today. At this time, I would like to welcome everyone to the Sky Harbour 2024 First Quarter Earnings Call and Webinar. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions]. I would now like to turn the call over to Mr. Francisco Gonzalez, Chief Financial Officer. You may begin your conference.
Francisco Gonzalez: Thank you, John. Francisco Gonzalez, CFO of Sky Harbour. Hello and welcome to the '24 first quarter investor conference call and webcast for the Sky Harbour Group Corporation. We have also invited our bondholder investors in our borrowing subsidiary Sky Harbour Capital to join and participate on this call. Before we begin, I have been asked by counsel to note that on today's call, the company will address certain factors that may impact this and next year's earnings. Some of the information that will be discussed today contains forward-looking statements. These statements are based on management assumptions which may or may not come true and you should refer to the language on Slides 12 of this presentation as well as our SEC filings for a description of the factors that may cause actual results to differ from our forward-looking statements. All forward-looking statements are made as of today and we assume no obligation to update any such statements. So now let's get started. The team with us this afternoon, you know, from our prior webcast, Tal Keinan, our CEO and Chair of the Board; Will Whitesell, our COO; Mike Schmitt, our Chief Accounting Officer; Tim Herr, our Treasurer; and Tori Petro, our Accounting Manager. We have a few slides we want to review with you before we open it to questions. These slides have been filed a few minutes ago in Form 10-Q with the SEC and also for Sky Harbour Capital with MSRB, EMMA, and will also be available on our website shortly. As the operator stated, you may submit questions during the webcast during the Q4 platform and we will address them shortly after our prepared remarks. Let's get started. This is a summary of the financial results of our wholly-owned subsidiary Sky Harbour Capital and its operating subsidiaries that form the obligatory group in the context of the trend of the past three years for selected metrics. As you may see, we continue the path of construction activity and expect that to accelerate in the coming quarters as Will discuss shortly. Revenues moved higher in Q1 and we expect them to continue to move higher in Q2 now that the three campuses are fully leased. Operating expenses remain relatively flat leading to a positive cash flow from operations as you may see in the lower right-hand chart. We expect to remain cash flow positive going forward at the operating level. We expect this trend to continue and to accelerate in the first half of next year when Denver, Phoenix and Dallas campuses open. Next slide. On a consolidated basis, the results in Q1 tracks similar results at Sky Harbour Capital except for SG&A, which is mainly a repair company and reflect the impact of non-cash employee stock and cash-based compensation expenses. The next step function in revenues on a consolidated basis is expected to occur in Q2, the current quarter with the opening last April last month of our new campus at the San Jose de Janeiro International Airport. We expect Sky Harbour Capital on a consolidated basis to reach cash flow positive in the summer of 2025 as we reach sufficient scale to cover our holding company expenses. Let us turn to Tal Keinan, our CEO for an update on-site acquisition.
Tal Keinan: Thanks, Francisco. So as people I think are becoming accustomed to, we think of our activities in 4 silos site acquisition, development, leasing, operations. Site acquisition, as you can see, this is the major hurdle in our business. It's not that our work is done when we acquire a site, but I think most of the value of our growth is captured at the point of site acquisition. This chart shows revenue capture historically and what we projected going forward as well. On the basis of airports times square footage of hangar that we see fitting on the airport in question times revenue per square foot that airplanes at that airport are currently paying. Of course, our objective is to capture higher revenue per square foot than is currently available at those airports. But that's what this chart shows and I would say we're on track to meet our projections, perhaps exceed them this year. I'm going to hand it over to Will to talk about development.
Will Whitesell: Thanks, Tal. This Gantt chart represents a high-level summary of our development and construction pipeline as we see it today. Behind each one of these fields and phases, there's a significant amount of detail that represents both the planning and execution approach of each one of the fields to deliver the assets. This Gantt chart will continue to be detailed and new fields added as our pipeline grows. This represents a 3-fold increase in projects from 2023, 2024 moving into 2025. Our first quarter focus has been on determining the structural remediation plan of the 3 fields discussed in our previous call. The second quarter has been driven around defining our processes to scale up the operation to move towards nine projects in 2025 and the third and fourth quarter will be driving the process to scale the operation, finding efficiencies, delivering projects faster and at scale. As a summary, these are the three major fields that we spoke about in our previous call that represented the areas sorry, each field that needed to be remediated with the structural fixes. These projects per our last call are proceeding according to our plan as we move forward at this date.
Tal Keinan : It's Tal Kannan again. Our leasing update, so as we discussed at our last earnings call, the first three airports are at functionally fully leased. I will say we're targeting effective occupancy that is higher than 100% on those campuses. I think we did discuss this in the last earnings call and there was a question about it, in that we have both in Nashville and Miami, what we call semi-private hangars, where we have more than 1 tenant in hangar, in which case the lease contracts are defined by aircraft square footage rather than hangar square footage, which is really the convention in our industry. That's how FBOs charge aircraft rent, which allows you to get to about 120% occupancy in the standard hangar. So, we do think there's actually more squeeze out of Nashville and Miami. As Francisco alluded to at the beginning, we opened our 4th campus in San Jose, California on April 1. I think the two things to note on San Jose is number 1, we're coming up on 60% leased. I guess we're about six weeks into San Jose, so the leasing pace has been good. And our revenue per square foot is a lot higher. And I'll come back to that on the summary slide where I think it's important to understand when you look at that revenue capture chart that we looked at a couple of slides ago, we are orienting the company really in the next 24 months to 36 months towards targeting the best airports in the country. As I think people have appreciated here, there's kind of a finite range within which development cost and OpEx, which is really the denominator of yield on cost. There's a finite range within which those two factors vary, that's the denominator. The action is really in the numerator, right? We are a real estate business fundamentally and it's about location. As you can see, you capture significantly higher yields on what we call Tier 1 airports. San Jose is the first Tier 1 airport in the Sky Harbour portfolio, and most of our side acquisition focus over the next 24 months to 36 months is Tier 1 airports. Next slide is airport operations. Where there's not much material to report here, just to say that the objective that we set on the board level for 2024 is to really demonstrate that we're in a year where we're really building a brand for the first time for Sky Harbour. And part of that is demonstrating a clear differentiation between the Sky Harbour offering and that of legacy aircraft-basing solutions. It's a very resident centric model. As people on the call know, we don't have transient business at all at Sky Harbour. It's all the residents and we have a really, I'd say, almost maniacal focus on catering to those residents in the most special way possible. What does that mean? Number 1, efficiency. We're demonstrating and we hope to continue demonstrating the shortest time to wheels up. In aviation, if your corporation or you as an individual have made the very large investment of owning a business aircraft. We think efficiency and spontaneity is a very big piece of the value driven there. I have an interruption in that, okay. So that shortest time two wheels up, I think is what it's all about for many of the residents that are in our resident community. Second is personalization. We have small line crews on every campus, both pilots and aircraft owners on our first name basis with everybody that touches their aircraft and we're able to provide some very tailored service to these residents, which I think is becoming increasingly appreciated. And of course, privacy, one of the, I think one of the values of basing in Sky Harbour is there is no public terminal to walk through. Our residents' privacy is protected on an absolute basis. And then last on the list, but first in our minds and our approach to operations is safety, where there's absolutely no compromises. So that means pursuing and hiring the best ground crews in the business and having an absolutely rigorous training and testing regimen for our ground crews. With that, let me hand it back to Francisco to talk a little bit about our liquidity position and our long-term permanent debt.
Francisco Gonzalez: Thank you, Tal. We continue to enjoy strong liquidity as we roll our cash in one month to three months U.S. Treasury bills and notes pending their use in construction. In the meantime, we continue to earn more in our cash than the interest expense of our bonds. At quarter end, we had close to $160 million in cash and U.S. treasuries. Our debt as you all know is permanent fixed rate bonds with the first maturity eight years away and capitalized interest through the July payment of next year. The recurring cash flows from operations that we expect at the obligated group in 2025 will amply cover the expected net service of $5.6 million next year without having to touch the $4 million wrap up reserve we put in place just in case at the time of the bond issuance. Next slide. One more comment on our bonds. Our longest 30-year maturity during 2054 traded recently to yield 5.75 as they will commensurate with strong BB ratings and a testament of the credit quality and demand for our bonds. As you all know, we have met funding gaps at the obligated group with new equity and feel very comfortable to project that after stabilization, the future debt service coverage ratios will exceed those that were forecasted at the time of the bond issuance three years ago. We continue on a path to seek investment grade ratings next year as campuses ramp up with cash flow generation. We add additional accretive fields to the portfolio in a derisked way and we use interim financings in order to protect the current board holders of the obligated group. If we need to make adjustments to our covenants in order to achieve AAA ratings, we will consider those seriously given our goal to deliver this milestone in the fall of next year. Next slide. This slide we have shown before but wanted to reiterate that we continue to receive funding proposals of equity and debt to meet our growth capital needs, but we are being disciplined on our consideration of these. We seek growth capital that is credit accretive to our bondholders and earnings cash flow accretive to our equity stockholders. We have not sold any shares under our ATM program. Our conservative balance sheet on liquidity allows to be delivered. We are fully funded for the first 10 airports and can reach cash flow breakeven without any additional capital raise. Of course, we can accelerate growth with the bright new funding, we will take advantage of opportunities as these arise. Back to Tal for a brief review of our areas of focus in the next 12 months.
Tal Keinan: So, our radar suite looking forward is as follows. Site acquisition, as I said earlier, it's now about maximizing revenue capture. That means the most square footage on the best airfields in the country. Our site acquisition team has grown significantly. It will continue to grow. We've got any, many airfields in the call it gestation process that will hopefully yield ground leases at those airports. But again, Tier 1 airports is the focus. Development, we're moving to standardization and structuring ourselves for scale. That means very high run rate, parallel processing of many, many fields across the country. At a time, Will and his growing team have done a lot of work to gear us up for really running this company at scale. We feel we're in a position where our unit economics are increasingly borne out. We're comfortable with them especially as we move to these higher revenue airfields like the airfields in the New York area for example. And the development side of the business is really about coming to develop at scale. On the leasing side, as I mentioned earlier, this is the year where we want to generate brand awareness. We've been a very local story in each location that we're in so far. It's time for us to become a national story both in terms of the number of campuses that we have coming online and also just recognition of the value that we bring to airport sponsors themselves, right? Increasingly, we're feeling pulled from the airport sponsors and that we have a differentiated offering that serves the business aviation community differently from what's been available up until now. And then operations, again, it's maniacal focus on the resident who has very, very particular needs that we feel we're meeting differently than any available offering to date. And again, the kind of measurable metric that we want to focus on here is time to wheels up. And in addition to that, there are a bunch of unquantifiable that are we know are important, like personalization and keeping us safety standard at the top of the industry. With that, I think we can take it to questions.
Francisco Gonzalez: Yes. This concludes our prepared remarks. We now look forward to your questions. Operator, please go ahead with the queue.
Operator: [Operator Instructions]. First question comes from Philip Ristow [ph]. The question read as follows. I read that Sky is potentially pursuing legal action for the additional cost for Phoenix and Denver. Can you discuss any potential recovery for the additional capital outlay for those locations? Thank you.
Francisco Gonzalez : This is Francisco. First of all, thank you for your question and for your following Sky Harbour, these past few years as an investor. Yes, so we are have engaged counsel outside counsel to pursue claims against those parties that were related to these flood designs that now we have addressed. And the outcome of that is too early to tell. We know that some of the parties have obviously insurance behind them. So more on this in the near future. We do expect some recovery, but unfortunately, it's going to be a full recovery of the increased cost that we have endured, but we are going to fully pursue our legal remedies under the contracts and laws in diverse jurisdictions that we were impacted, Texas, Denver and so on. Next question.
Operator: [Operator Instructions]. The next question comes from Philip Ristow. Can you comment on the non-rental revenues that you mentioned on March 27th? What is the potential for that segment over the next five years as a percentage of the overall revenue and margins?
Tal Keinan: This is Tal. We are seeing actually two similar questions on this. So, we'll address Alan Jackson as well on the same one. So, let me start with this. The focus of the company right now is on growth, putting more dots on the map and better dots on the map, right. So, we're actually devoting relatively little bandwidth to the additional revenue streams. The idea being we will circle back when we own these. Remember there's a very deep boat around us once we establish ourselves at an airport. So, we think there's a lot of time to come back and address these revenue streams. I can tell you what we have in place right now as everyone here knows, there are fueling revenues everywhere but Houston, which supplement our rental revenues. There are now aircraft detailing revenues as well. Remember, light fuel, we are really coupon clippers here. We never own the fuel. We don't provide the detailing services. We facilitate a third party providing those services and we take the cut of the revenues and that will be the model for most if not all of the dozen or so additional revenue streams that we're looking to put in place. But I'll say again the focus right now primarily is on growth putting more dollars on the map. Once you own those, you can come back and push those beachheads to bring in additional revenues.
Operator: The next question comes from Greg Giddis. Do you think you can achieve over 100% occupancy at other campuses or is it more of a one off?
Tal Keinan: That's definitely something that we'll do everywhere going forward. I don't remember if we discussed this in the last call, but our prototype hanger has evolved on the basis of the 2021 addition of the NFCA 409 fire code for aviation anchors. So, we're going from a floor layout of just under 12,000 square feet to a floor layout of about 34,000 square feet. That 34,000 square foot hanger can be demise in a way that provides two fully private bays that are the equivalent of our current hangars, right? We could do that or leave them undemised, which leaves you a much more stackable format, right? You can achieve higher revenue density in that 34,000 square foot format than you can in the 12,000 square foot format. So not only is it applicable to other campuses, I expect that actually occupancy to be higher on the future campuses than on the current campuses.
Operator: Next question comes from the line of Christine Thomas. What is the current trend in construction for SQF cost? Are there benefits to scale as you add hires to a bigger installed base?
Tal Keinan: Currently in the market right now, we see construction costs on most of our campuses between $240 a square foot to just north of $300 a square foot. I would say that some of the inflationary pressures, meaning escalation as we look at projects in our pipeline that are 12 months out is starting to settle down a little bit from what was anywhere to 6% to 10% to a more normal range of 3% to 5% on a per annum basis.
Operator: The next question comes from the line of Matthew Hallett. Are you still on pace to sign three ground leases in 2H '24 and 6 in 2025? If so, will all be Tier 1 locations?
Tal Keinan: This is Tal. Yes, we are on pace. Again, our ambition is actually to exceed guidance. We'll see, we won't be bashful as these leases come in. In terms of targeting, we have over 100 airports that are in process that we're targeting. We will definitely take what comes. The focus is on the highest Tier 1 airports where we see the highest revenues. That said, you're familiar with the unit economics even on the rest of the airports that are all attractive. And again, to the extent that the capital is won't be a constraint going forward, we see no need to turn down other business. So, it's kind of full steam ahead right now. But I think you'll notice a significant skew towards the best airports in the country. That is where is except the focus is today.
Operator: [Operator Instructions]. The next question comes from Peyton Skill. Guidance on full occupancy at SJC.
Tal Keinan: We actually currently have the entire hangar under LOI. How much of that is actually going to materialize as a full lease, we'll know in the coming, I'd say, month or so. Our internal target is midsummer to have that hangar full. Right now, it looks like we might be on pace to beat that. The entire hangar actually about 105% occupancy in the hangar is under LOI currently. If we can convert that into leases, we should know that next three weeks or four weeks.
Francisco Gonzalez : Let me add, this is Francisco. San Jose already at the current level is cash accretive and obviously as it gets fully leased, it will contribute north of expected to contribute north of 1 million, 1.5 mm of incremental cash flow on a consolidated basis. So, we are looking forward to it reaching the full occupancy in the coming weeks months.
Operator: Next question comes from Christine Thomas. Why does an airport sponsor chose Sky Harbour over other providers? How many other providers generally compete for each airport?
Tal Keinan: So, I think it depends on the airport, depends on the situation. One of the things that we've learned over the years doing this is two airports are alike. At the beginning, I think try to find template solutions to getting on to airports. That's not really how it works. I'll give you an example though of an advantage. If you take an airport that's served today by 2 or 3 FBOs, Remember the main business of the FBOs is fueling and on certain airports it's really dominated by transient fueling versus base tenants. Unless those FBOs are operating at full capacity, can't expand, can't add personnel or equipment to handle more volume, then adding an additional FBO primarily cannibalizes the business of the existing FBOs, which is not necessarily good for the airport and it hurts their tenants and there is a responsibility of the airport sponsor towards its existing tenants. Whereas adding a Sky Harbour base to an airport doesn't cut into the transient fueling business at all for the FBOs and brings incremental hangar capacity to those airports. What is that good for? I think on the weaker side, it's an economic development boost to this airport sponsor jurisdiction. On the maybe stronger side is ad valorem tax receipts for that jurisdiction, right? Many states in the country charge an ad valorem tax on aircraft, which can be considerable. And having those aircraft base at the airport is a direct driver of tax revenue, which makes really eclipses all other revenue sources for airport sponsors. I mean, rent, fuel flowage fees and other sources of revenue are going to fall way short in most jurisdictions that have ad valorem tax, they're going to fall way short of ad valorem tax receipts. Look there are a lot of other reasons that airport sponsors might be interested in the Sky Harbour. Again, I don't think there's one sweeping statement we can make about that, but maybe take that as an example of the types of considerations an airport sponsor might have.
Operator: The next question comes from the line of Matthew Hallett. Are you still on pace to sign three ground leases in 2024 and 6 in 2025? If so, will all be Tier 1 locations?
Tal Keinan: Yes, sorry. I think we already addressed that question. So maybe we can skip to the next.
Operator: The next question comes from the line of Alan Jackson. As you begin to establish the national brand, do you anticipate more competition emerging? Does Sky Harbour have a first-mover advantage as compared to future competitors that can insulate the company from potential rent reductions?
Tal Keinan: I think the short answer is, yes. We expect competition to come into our space. Right now, nobody else is doing this. The unit economics are clear to everybody on the call. We do expect competition to come in. And we also do think that there is a first mover advantage here and I think it comes in a few different forms one example would be on the site acquisition side, where today Sky Harbour is in process, like I said, in a very, very large number of airports across the country. No two airports are alike. We sought and failed to find a template solution to site acquisition. It's much more art than science and we have we think is the best team in the country doing this today. We do think that that's something that's going to be difficult to emulate. In addition, again, I think many other call will appreciate, Sky Harbour is structured in all aspects of the business for this specific mission. And although it's not, this is not some high-tech company with a patent protecting it. There are a lot of moving parts of the business, from the way we finance ourselves to the way we staff ourselves to our methodologies. This is not copy paste from any other industry. So, we do see real benefit to being the first mover in this space. That said, we don't expect to be alone in this space forever. I mean that will happen.
Operator: Next question comes from [Peyton Skill]. What is the dollar per gallon difference between fueling with Sky and fueling at the neighboring FBO?
Tal Keinan: So, I think two things that we share in common with the FBOs. Number one is we bundle rent and fuel. We encourage our prospective residents to look at total basing cost in order to kind of make an apples-to-apples decision. We make the vast, vast majority of our revenue from rent. The FBOs make the vast majority of their revenues from fuel, but they are bundled. And the second is that we negotiate with individual tenants, right? Again, we're not, we don't have thousands of residents. And we are talking about major corporations or very high net worth individuals as tenants, everybody is n some negotiated rate, right? We have tenants that prefer a lower rent and higher fuel margin. We have tenants who prefer the opposite. So, I don't think there's any, I don't think we can say a specific spread on dollars per gallon between Sky Harbour and an FBO. I think we could just say in general our rents are much higher than an FBO's rents, our fuel prices are lower than FBO's fuel prices.
Operator: The next question comes from Matthew Howlett. Can you give us an update on the warrants? How should investors think about them? They can be a significant source of capital to the company. You can call them when the stock is $18 for a certain period of time.
Tal Keinan: Yes, as many of you know we inherited the warrants at the time of the leaseback and then also we provided some warrants in our last pipe that are within the same CUSIP [ph] and the ratio, so they all basically came together in the same trading. We get this question a lot. Yes, there have been a source of capital already. I think we mentioned in the last webcast that we have got about $3 million of proceeds from the exercise of warrants and obviously something that we will continue to welcome. Yes, you are right in your question that as per the terms of the I think this is pretty standard for this pack warrants that they have, we see it as a cap at $18 at which time the company can basically force a call exercise of the warrants. We have no currently any plans to do anything with the warrants. We continue to monitor them and so on. And we see them as a way for people who are interested in our stock to also take a long position on the company. But again, from our perspective we probably let the market kind of like dictate that and we see as people decide to exercise them now into the future as a source of capital, but obviously at the margin. Now as time goes by and our stock performs, yes, there will come a time where as we get closer to expiration that our warrant holders will have the opportunity to exercise and that given the amount of warrants we have outstanding, it will be a material amount of proceeds coming to the company at that time.
Francisco Gonzalez : Operator, there seems not to be any additional questions. So, thank you all for joining us this afternoon and for your interest in Sky Harbour.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.